Operator: Good morning, everyone, and welcome to the Kopin Corporation Fourth Quarter 2024 Earnings Call. Please note that the event is being recorded. At this time, I'd like to turn the conference over to Brian Prenoveau, Investor Relations for Kopin. Please go ahead.
Brian Prenoveau: Thank you, and good morning, everyone. Before we get started, I'd like to remind everyone that today's call taking place on April 17, 2025, and we'll be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on the company's current expectations, projections, beliefs and estimates and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those forward-looking statements. Potential risks include, but are not limited to, demand for our products, operating results of our subsidiaries, market conditions and other factors discussed in our most recent annual report on Form 10-K and other documents filed with the Securities and Exchange Commission. Although the company believes that the assumptions underlying these events are reasonable, any of them can be proven inaccurate, and there can be no assurances that the results will be realized. The company undertakes no obligation to update the forward-looking statements made during today's call. In addition, references may be made to certain non-generally accepted accounting principles or non-GAAP measures, for which you should refer to the appropriate disclaimers and reconciliations in the company's SEC filings and press releases. Kopin Corporation's Chief Executive Officer, Michael Murray, will begin today's call with an overview of Kopin's progress within the company's strategy. Following Michael, Kopin's CFO, Richard Sneider will review the company's fourth quarter and full year 2024 financial results. I would now like to turn the conference call over to Michael Murray. Michael?
Michael Murray: Thank you, Brian. Good morning to everyone, and welcome to our fourth quarter and full year earnings call. I want to begin by expressing my thanks and gratitude to our shareholders for their patience as this year's audit took longer than anticipated, but we filed our 10-K, and we're happy with our new audit firm, who took on a significant task with adding Kopin late in the fiscal year. Today, Kopin is reporting an all-time record year from both a revenue perspective and for orders since the disposition of our HBT business to go. The momentum from strong fourth quarter results, our existing order book and new contract win is part of 2025 gives us content to our strategic pivot, transformation, and focus is gaining real momentum. Before I provide insights into our future, I wanted to highlight some of the positive results from 2024 before turning the call over to Rich to go through a detailed analysis of our financial results. I want to highlight a few areas I think are important to keep in mind. On our second year of our transformation plan, we achieved a growth of 25% year-over-year growth in 2024. Fourth quarter revenue increased 71% when compared to 2023. Our quality rates have greatly improved and now are more predictable. The structure in fourth quarter 2024 was much closer to normalized expense level given the lower legal costs and we believe automation in the manufacturing plants can further lever and reduce our cost structure. As a reminder, the $46 million loss includes $24.8 million in reserve for the Blue Radio's litigation and associated legal costs in 2024. Excluding the reserve for litigation costs and associated legal expenses, the adjusted loss per share have been negative $0.09. We've continued to significantly narrow the loss and gain momentum to become cash flow positive. Under our One Kopin open strategy, we reorganized Cope, Virginia and our Europe teams, which unify our focus capabilities while reducing redundancies. We also formed new business development, program management and quality teams. Under the fab light strategy, we brought online new OLED and micro LED vendors to strengthen our source of supply for U.S. DoD applications, while keeping our lower-cost medical and consumer supply strategy intact. We rebranded the company, launched a new website and reinvigorated our marketing outreach, customer service and support models. Indeed, I am very proud of our progress in 2024. And as we now look to 2025 and beyond, we remain very optimistic and excited about our future. Despite the delays in defense budget processes, geopolitical and supply chain uncertainties, we reaffirm our belief that in 2025, Kopin will continue to go and generate between $52 million to $55 million in revenue. Now let me discuss everyone's favorite topic, tariffs. On the pricing side of our business, our government contracts allow us to seek price increases if the tariff affects our costs. On the supply side, our raw wafer inventory levels can support our demand in 2025. Further, Kopin began our fab-lite strategic initiative in 2023 with the goal of reducing our exposure to Asian supply chain. Since then, created dual-supply chains for OLED on silicon display specifically, which are already supporting customer demands. No company will be immune to the effects of tariffs. However, we believe Kopin is in a much better position than most due to these decisions. Now in 2025, we will continue to execute on our One Kopin strategy as this supports and directs more resources to the rapidly expanding European and Southeast Asian defense markets. This focus should provide us with a lift in global opportunities and a more balanced pipeline for growth as we continue to witness additional and significant project funding in parts of Europe and Korea specifically. As an early indicator of our progress, we are seeing an influx of new and challenging opportunities which fit our strategic plan, our priorities and our capabilities. Furthermore, we are actively exploring strategic partnerships with leading firms in high-growth markets and regions to expedite this growth. Coupled with our engineering, production and program management teams, we must also execute more profitably on our current programs and anticipated new product introduction growth. Thus, our strategic initiative for 2025 is the implementation of AI-assisted factory and process automation. Improving manufacturing efficiency, increasing automation and reducing redundancies are critical areas of improvement for our company. Several of these automation projects were funded and began development in early 2024. We believe these initiatives will be enabling higher factory absorption rates, better data-driven decisions, and lead to greater throughput in our current facilities. As we capture more of our opportunity pipeline, our ability to leverage our manufacturing facilities to handle greater demand, improved product quality while reducing overhead cost is critical for our success. We are excited to share that we expect a significant milestone achievement in our factory automation plan to be achieved this quarter as we introduce new AI-enabled inspection systems. We are making these improvements to increase our manufacturing capacity without significant headcount increases to create a cost structure that turns volume into profits and to have capacity to achieve our goal of at least $5 million in annual revenue in 2027. Our existing pipeline is very strong, with programs that have congressional budget demands throughout 2030. Additionally, several of the program contracts we have are IDIQ, or Indefinite Demand, Indefinite Quantity, which allows for even greater revenue demands than we currently have on order. Again, considering the recent tariff news and geopolitical tensions, it is important to note that our top three programs are built here in the United States. And much of our active opportunity pipeline will also be built here as well, whilst our NATO and European demands can be supported through our Scotland facility. All of this to say that we're very excited about the company's prospects, and we believe that in today's geopolitical environment, demand for micro displays, optics, application-specific solutions has increased steadily in defense, medical and industrial markets. We're also incredibly proud of our expanding customer base that is equally well-positioned to deliver outstanding products and technologies to their end customers. Now along those lines, recent reports surrounding the IVAS version 1.2 program being novated to ANDRO have generated several questions about Kopin's ability and ambition to capture some or all of these types of opportunities. As a reminder, IVAS is a $22 billion U.S. Army program aimed at enhancing soldier capabilities through a body-worn mixed reality system, leveraging augmentation and virtual reality for improved situational awareness, lethality and mobility. In January, it was reported that requests for information were issued regarding a technical update to the program now called Soldier Borne Mission Command, or SBMC. Kopin has submitted our responses to this program, along with contributing to several other Tier 1 firms who have also responded. We have quoted these firms with our microdisplays, and in several cases, we have included fully integrated modules, which include displays, optics, drive electronics and our neural software in some cases. From the Kopin perspective, these are both positive reports about the overall program and our ability to contribute to it. But more importantly, the soldier warren visual acuity market in defense is maturing and growing at a rapid rate within the U.S. and globally. While SBMC remains a significant opportunity for Kopin, we can tip us on developing our own integrated visual acuity system or what we call IVAS now solutions, which allow warfighters both a daytime and a nighttime solution that works seamlessly with their field like the current versions of night vision goggles or NVGs and popular helmet worn systems. These new products allow Kopin immediate access to significant market potential since there are millions of NVG goggles in use today, which require additional information sources to be visible through the goggles during operation. IVAS now utilizes currently available information systems and connections and data through the Android team awareness kit or ATAC for short, and our DVAS solution, which is being offered with the Wilcox Fusion class system. This new strategy was affirmed recently to be valued as Kopin was awarded a multimillion-dollar research and development contract for a new XR off-theviser optical prototype for the army we announced recently. Other exciting developments include our work on micro-LED product portfolio and the progression to our neural display architecture, a highly advanced display that includes embedded sensors to track eye movement, position engage, while simultaneously processing the tracking data within an AI that resides in the back plane of the display. The system adjusts the displayed information in real time to optimize user experience and performance in high-stakes use cases. Current demonstrable silicon is an OLED on silicon. However, we also will offer this technology as a micro LED as well. We believe that this display system will be a great fit for next generation of defense visual augmentation system. It is also receiving significant interest from medical and consumer spatial computing manufacturers. For example, our solution would reduce several internal cameras within the current Apple Vision Pest headsets, resulting in reduced size, weight, power consumption while still offering great image quality, eye and people tracking with dynamic controls. We now have operational prototypes of this innovative hardware and software platform and expect to announce more details on that very shortly. Now with respect to our order book so far in 2025, we have announced further contract wins, including a $14 million purchase order for thermal imaging assemblies, which has an additional $5 million for materials procurement. $4 million in orders for pilot helmet augmented reality systems, a $2 million follow-on order for helmets and rotary and fixed wing pilot applications, and we've been awarded several million dollars in research funding for extended reality prototypes. We are excited about the tremendous opportunities that are in front of Kopin and believe the next few years will be an exciting time as we can our pursuit to save lives. Our technology ultimately leads to increased safety for our warfighters, which means more of our men and women in uniform come home. Surgeons who use our CR3 headset from HM DMD will perform their operations more effectively, efficiently and accurately, providing better patient outcomes. And firefighters who use our technology to see through dense smoke, will find people and need. We take that work very seriously and have an incredibly dedicated and passionate team that comes to work every day with this mission top of mind. I'll now turn the call over to our CFO, Rich Sneider, to review our results from the fourth quarter and full year of 2024 in further detail. Rich?
Richard Sneider: Thank you, Michael. Turning to our financial results for the fourth quarter. Total revenues from Q4 were $14.6 million versus $8.6 million for the prior year, a 71% increase year-over-year. Product for the fourth quarter ended December 28, 2024, were $12.6 million compared to $6.8 million in the fourth quarter ended December 30. Increase in product result of higher defense product revenues, which increased by $6 million year-over-year or 100% increase. In the fourth quarter of 2024, funded research and development revenue were $1.7 million, a decrease of $60,000 as compared to Q4 2023, essentially flat. Cost of product revenues for the fourth quarter of 2024 were $10.6 million or 84% of net product revenue compared to $7.2 million or 106% of net product revenues for the fourth quarter of 2023. The increase in cost of product revenues of higher volumes, which provided fixed cost leverage. R&D expenses for the fourth quarter of 2024 were $3.1 million compared to $2.2 million a year ago. This was primarily due to an increase in internal costs to establish OLED deposition capabilities in Europe and new display development. SG&A expenses were $3.1 million in the fourth quarter of '24 compared to $5.9 million in the fourth quarter of '23. The decrease was primarily due to a decrease in fees of $2.9 million, most of which was legal expense. Turning to the bottom line. The net loss for the fourth quarter of '24 was $1.9 million or $0.01 per share compared with a net loss attributed to Kopin of $6.5 million $0.06 per share for the fourth quarter of '23. Turning to the full year results. Total revenues for the year were $50.3 million compared to $40.4 million for the year ended December 30, '23, a 25% year-over-year increase. Product revenues for the year ended December 28, '24, were $43.6 million compared to $25.9 million for the year ended December 30, '23. The increase in product revenue was a result of an 82% increase in defense product revenues. R&D revenues were 3% lower or again, essentially flat. Product revenues for 2024 were $36.2 million or 83% of net product revenue compared to $24.7 million or 96% of net product revenues in the prior year. Cost of product revenues decreased as a percentage of revenues in '24 as compared to '23 primarily due to an increase in unit volume of thermal weapon sites from higher sales in '24 as compared to '23, which resulted in a lower fixed cost overhead cost per unit. Kopin also implemented several programs and hired additional resources to improve manufacturing quality and efficiencies. R&D expenses for '24 were $9.6 million compared to $10.8 million for '23, an 11% decrease year-over-year. Funded R&D for 2024 decreased $3.3 million as compared to '23, primarily due to the completion of contracts for defense program awarded prior to '24. Internal R&D expenses for '24 increased $2.2 million as compared to the prior year, primarily due to an increase in display development costs and costs incurred to establish European foundry services. Selling, general and administrative expenses were $22.8 million for '24 compared to $21.8 million for '23. SG&A expenses for '24 increased as compared to '23 primarily due to an increase of $1.4 million in legal and professional fees, $2 million in excise taxes, partially offset by $400,000 of lower bad debt expense and $200,000 decrease in noncash stock-based comp. Net loss attributed to Kopin for the year ended 2024 was $43.9 million or $0.33 per share, compared with a net loss attributed to Kopin Corporation of $19.7 million or $0.18 per share for the year ended '23. Excluding the $24.8 million of litigation accrual, the adjusted net loss attributed to Kopin would have been $19.1 million or $0.14 per share. Net cash used in operating activities for '24 were approximately $4.2 million. Kopin's cash and equivalents and marketable securities were approximately $36.6 million at the end of the year. Listeners should review our Form 10-K for the year ended December '24 financial disclosure. And with that, I'll turn it back to Michael.
Michael Murray: Thanks very much, Rich. Again, I would just like to thank our audit firm, our investors and the great employees of Kopin for turning in a fantastic result in 2024, and we look forward to a great 2025. And with that, operator, we'll open it up for some questions.
Operator: [Operator Instructions]. We'll take our first question from George Gianarikas with Canaccord Genuity. Please go ahead.
George Gianarikas: Good morning, everyone and thanks for taking my question. I'd like to ask a little bit about neural display, and maybe you can outline any technical improvements and how close you are do you think we are to commercial deployments and commercial readiness.
Michael Murray: Neural display right now is demonstrable. We are giving it signals, producing signals and taking signals, which is a huge step. We've also been working on our software. We look to produce neural display in a headset and demonstrated this year so that folks can see the capability actually while they're wearing the displays. So that's the next big milestone is actually putting this new technology into a headset, so people can see it, feel it and use it, and that's the next big milestone, George. And we're hopeful to announce a milestone in that area, I'd say, this quarter or next.
George Gianarikas: Maybe just as a follow-up, just a question on the financials. You've given guidance and revenue for 2025. Can you just maybe a little bit more detail on what you expect the OpEx development to be? You made a remark about Q4 being the milestone. So, is it about $6 million a quarter, we should expect FX in 2025?
Richard Sneider: What's your definition of OpEx? Some folks have cost of sales and some folks don't. So, I just want to make sure. You just add SG&A in R&D?
George Gianarikas: Correct. Correct.
Richard Sneider: Yes. So, we should be in the range for SG&A of around $10 million to $12 million. When R&D fluctuates, as I said, it's around about $2.5 million for our internal and external. The funded R&D piece is always questionable because it's dependent upon the revenues itself. But internal -- but let me put it this way, our goal for internal R&D is 7% of revenues, all right? That's what we're budgeting. And we run $10 million to $12 million of SG&A. As I said, R&D expense is a little bit more difficult because it depends on the FRG programs. But so.
Michael Murray: And as a reminder, FRD is funded research and development that we receive from customers.
Operator: And our next question comes from Jason Schmidt with Lake Street.
Jason Schmidt: Thank you for taking my questions. Just curious if you've seen sort of any impact in customer engagement or kind of contract pushouts with DOGE and kind of the government changes that are going on? And I guess, relatedly, it'd be helpful if you could comment on what you saw from an order activity perspective here in Q1.
Michael Murray: Sure. So, we've not seen any impacts from government budget cuts. We do have many requests in for government funding, whether that'd be through the DPA office, CHIPs Act, or the DIB. So those requests are not in plan, Jaeson. We're not projecting them to be in plan, but they are significant, close to well over $100 million of requests but we are not forecasting those to come in until we have a greater view and more interaction. I have spent a tremendous amount of time on Capitol Hill in the past few months. That's been public to help pursue those funding requests, along with our customer, which is great. But we have not seen, to be clear, any pushouts or concerns for cancellations of our backlog or future business at this point in time because of DOGE. Secondly, you've actually seen an influx of requests for training and simulation opportunities training and simulation usually is the first indicator of conflict because you want to train your troops. And we're seeing that globally, more specifically in Europe and some here in the United States. And then lastly, we're seeing tremendous increases of demand for optical systems, for Soldier Warren Systems and also first-person viewer drone control requests. So that's across the world. Korea grew up to the United States. So, we have not seen a slowdown at this point.
Jason Schmidt: Okay. That's really helpful. And then just shifting gears to the open Kopin initiative. What's the timeline for most of those to be fully completed?
Michael Murray: So, we have a very aggressive schedule, Jaeson. As in my prepared remarks, we're implementing the first optical test solution per quarter. And each quarter, we have phases of new automation that we're adding. And to be clear, we're not looking to reduce headcount because of this. We're looking to add throughput to the fab to support the volumes that we're currently seeing in backlog as well as a number of opportunities that we expect to come in. Now I didn't answer the second part of your last question, I apologize. So, we have seen pretty significant orders in Q1. We are expecting to announce several new orders as well. We just couldn't get them out before the call. but we have been receiving fairly significant and steady order book activity for 2025 as well as 2026. So, look for more of those press releases shortly.
Operator: [Operator Instructions]. We'll go next to Glenn Mattson with Ladenburg Thalmann. Please go ahead.
Glenn Mattson: Curious, maybe, Rich, on the gross margin, it has been going to sequentially going up for a couple of quarters that ticked down this quarter. Can you just give me some dynamics of what the difference is there? And then your best estimate of how we should think about it for next year?
Richard Sneider: Yes. So, we -- as part of the open Kopin initiative, the markets we focused on, we took -- I wouldn't say aggressive positions, but we really looked at what we thought the business was going to be in 2025 and took some reserves on inventories in markets that we just didn't think we were going to really pursue going forward. Basically, some of the products are getting older. But that's probably the only real anomaly in the quarter. Otherwise, it's just a lot of volume. There's some inefficiencies when we're trying to create that much volume, which is why the automation is so critical for us. To date, when we try to scale, we're hiring people because there's still a lot of touch labor. So that's why for us to leverage really get the margin moving in the right direction. Automation is the key. So, the good news is we've got a lot of volume. We just got to be able to make it a little cheaper to expand the margin. And we do expect margin expansion throughout 2025.
Glenn Mattson: So, would kind of what the new year look like? Is that what you think is -- we'll get to be in that range or a little beyond that, but they put the automation? I mean so I guess like the high point was Q3, you were like 24% product or so. Is that like the range you want to be in? Or is that...
Richard Sneider: Yes, that's exactly right.
Michael Murray: And Glenn, this is Michael. There is also a bit of mix in Q4. We had several smaller programs that came back into revenue in Q4, actually that we were not expecting in some cases, that were lower margin than expected. So, we think that Q3 of '24 is the model in terms of margins. And we think with these inspection systems and automation systems that we're adding to the fab will improve that margin. As we increase our revenue, we want to hold our headcount firm and not add headcount, but add automation so that we produce more with what we have and create those margin capture opportunities.
Glenn Mattson: That's helpful. And can you give me an opportunity to discuss the best or do you have any guesstimate on when there an update on the lawsuit?
Michael Murray: No. I have no update at this point. We have not heard from in Colorado. We have been actively putting in motions throughout Q4 and around the case with in Massachusetts actually, that Blue Radios is involved with. And we entered those motions in Q4 to highlight the summary judgment in Massachusetts as well as some inconsistencies that we saw in testimonies and some contradictions that we see between the cases. So those motions went in -- they're available online. I believe you can look at them for your own edification on Borg. So, we have not heard any judgments on those motions. There's no hearing scheduled, and we have not heard from the Colorado court as at this point in time.
Richard Sneider: Yes. Just for clarification for folks who may not be aware, not only did Blue Radio sued us, they sued our law firm, and that lawsuit against our law firm was thrown out on summary judgment with no validity.
Michael Murray: And it's fair to say that Blue Radios, we believe, has -- or will put in their appeal on that case in Massachusetts, to be clear.
Glenn Mattson: Amazing. It's been almost a year or close to a year since I've really come out, there's no way to force the judge's hand in terms of speeding up the process, I guess. And then also while you're answering that, is there much expectation for further legal expense this year as this thing winds down or if there's any less or anything like that?
Michael Murray: Sure. So right now, you're correct. It's one full calendar year since the jury verdict, that's number one. Number two, I think we don't foresee any further major expense with the exception of the appeal of whatever judgment -- final judgment we received in Colorado if it's adverse. But I'm becoming more confident in our ability to reduce the damages, number one. Number two, a more very much more confident in our ability to appeal any judgment in Colorado based on what's happening in Massachusetts as well as some of the motions that our law firm has put in, in Q4. So, I would say that we look forward to moving this forward and the battle has just begun. It's not over. I think we're very much focused on our appeal. But that appeal, Glenn, is not a forever type of cost. It is founded by the document that you put into the appellate court, and we don't foresee it being significant in terms of the cost structure to appeal this judgment if and when we receive it. So, we think we'll get a normalized cost structure here in Q1 and Q2. Appeal, we believe, will be sub-$1 million of cost.
Glenn Mattson: Sorry, did you say several or seven? I didn't hear what you said there.
Michael Murray: Sub-$1 million. So below $1 million. Yes, and that's a one-time cost. That's not a recurring cost. It's a one-time cost to put the up in place.
Operator: We have no further questions in the queue. So, I'll turn the call back over to Michael Murray for any closing remarks.
Michael Murray: Wonderful. Thank you, operator. Again, thank you very much to our shareholders, our employees and our customers for their patience with filing our 10-K. We're excited about this year and the future, and we look forward to talking to you very shortly on our 1Q '25. Thanks very much, folks.
Operator: Thank you, ladies and gentlemen, that does conclude today's program. Thank you for your participation. You may disconnect at any time.